Operator: Greetings, and welcome to the Union Pacific Fourth Quarter 2018 Conference Call. At this time all participants are in listen-only mode. A brief question-and-answer session will follow the following presentation. [Operator Instructions] As a reminder, this conference is being recorded and the slides for today's presentation are available on Union Pacific's website. It is now my pleasure to introduce your host, Mr. Lance Fritz, Chairman, President and CEO for Union Pacific. Mr. Fritz, you may now begin.
Lance Fritz: Thank you, Rob, and good morning, everybody, and welcome to Union Pacific's fourth quarter earnings conference call. With me here today in Omaha are Jim Vena, our new Chief Operating Officer; Kenny Rocker, Executive Vice President of Marketing and Sales, Tom Lischer, Executive Vice President of Operations; and Rob Knight, our Chief Financial Officer. This morning, Union Pacific is reporting record 2018 fourth quarter net income of $1.6 billion or $2.12 per share. This represents an increase of 29% in net income and 39% in earnings per share when compared to adjusted results for 2017. Total volume increased 3% in the quarter compared to last year. Industrial and premium carloadings grew 6% and 9%, respectively, while Agricultural products declined 2% and Energy volumes were down 9%. The quarterly operating ratio came in at 61.6%, which improved 1.1 percentage points compared to the fourth quarter of 2017. Strong topline growth and improved operating performance drove the year-over-year improvement during the quarter. We launched the Unified Plan 2020 on October 1 of last year to help drive improved safety, service and operations. And I'm pleased to report that we're ahead of our initial schedule and seeing meaningful gains in on-time performance, productivity and financial results. The network design changes we implemented over the past few months have already had a measurable impact. We've eliminated the excess network cost that we previously discussed. Cost savings are being realized by parking excess freight cars and locomotives, by cycling cars faster in our network and by reducing the size of our workforce. We're seeing steady improvement in the key performance indicators we use to gauge progress. As a result, we announced late last year that we're accelerating implementation of Unified Plan 2020, which we now expect to be complete by the middle of the year. Shortly, you'll hear from the team on our fourth quarter results and the status of the Unified Plan 2020 initiative. But first, I'd like to introduce Jim Vena, an old friend, who we just appointed Chief Operating Officer effective last week. Jim's leadership abilities and accomplishments over a 40-year career at Canadian National Railway are well known in the rail industry. Jim will have full authority over all aspects of Union Pacific's operations to implement Precision Scheduled Railroading principles as he leads the next stages of our Unified Plan 2020. We're fortunate to have him as the newest member of our leadership team. I'll now turn it over to Jim for a few remarks.
Vincenzo Vena: Thank you, Lance, and good morning. First, I'd like to say how pleased I am to return again to the railroad industry. Union Pacific is a great company with a storied history and an impressive track record of financial success. I'm proud to be part of it. While I arrived only last week, it is apparent to me that Union Pacific is committed to changing its operating model in pursuit of running a safe, more reliable and highly efficient network. I've also observed that there are a lot of talented people here working hard to move the company ahead. There has been good progress made in recent months, improving the number of key service metrics, but we have a long way to go. I plan to spend time right away out on the railroad interacting with employees. In fact, I've already visited the field, and I can tell you, there's a lot of opportunity out there. I'm assessing the status of Unified Plan 2020, both in terms of progress made to date and initiatives that are currently underway. I believe that Union Pacific can become the industry leader in safety, operating efficiency, customer service and financial performance. I know the railroad has a vision in place to get to a 55 operating ratio already, and we will be working aggressively towards that goal. But first things first, Lance, let's break 60. I'm excited about the opportunities and challenges that lie ahead. And with that, Kenny, I'll turn it over to you.
Kenyatta Rocker: Thank you, Jim, and good morning. For the fourth quarter, our volume was up 3%, driven by solid growth in our Premium and Industrial business groups, with a partial offset in Energy and Ag. We generated positive net core pricing of 2.5% in the quarter. The increase in volume and a 2% improvement in the average revenue per car drove a 6% increase in revenue. Let's take a closer look at the performance of each business team. Ag Products revenue was up 5% on a 2% decrease in volume and a 7% increase in average revenue per car. Grain carloads were down 10%, driven by reduced soybean shipment to China. This was partially offset by growth in other feed grain shipment, predominantly to the Mid-South and Mexico. Grain products carloads were up 2% as the same demand for biofuels drove increases in biodiesel, renewable diesel fuel and soybean oil markets. This was partially offset by tariff related challenges in mills and slowing ethanol growth year-over-year. Fertilizer and soil for carloads increased 18% due to a prolonged fall application, coupled with continued strength in export potash. Energy revenue decreased 8% for the quarter on a 9% decrease in volume, while the average revenue per car remained flat. Coal and coke volume was down 6%, primarily driven by a contract changes and retirement. While natural gas prices were higher, it was not enough to offset the volume decline. Sand carloads were down 47%, largely due to the impact of regional sand within the Permian Basin. Furthermore, favorable crude oil price spreads drove an increase in crude oil shipments, which were the primary driver for the 25% increase in petroleum, LPG and renewable carloads for the quarter. Industrial revenue was up 10% on a 6% increase in volume and a 3% increase in average revenue per car during the quarter. Construction carloads increased 10%, primarily driven by increased market demand for rock shipment. Metals and ores volumes increased 19% due to strength in energy, construction and manufacturing markets. Plastics carloads increased 10%, driven by higher production, coupled with new plant start-ups. Premium revenue was up 15%, with a 9% increase in volume and a 6% increase in average revenue per car. Domestic intermodal volume increased 3%, driven by back-to-back strong peak seasons, continued demand for tight truck capacity and strength in parcel and LTL shipments. Auto parts volume growth was driven by over-the-road conversions and production growth at key locations. International intermodal volume was up 21% as the new ocean carrier business continued in the fourth quarter, coupled with a strong pull ahead of shipments due to the 2019 tariff implementation. Finished vehicle shipments were flat. Fourth quarter U.S. auto sales were down approximately 1% from the fourth quarter of 2017. However, shift in consumer preference from sedans to light trucks and SUV, coupled with stronger shipment levels out of Mexico and growth with winning new customers, enable UP to overcome declines in the overall market. For 2019, our Ag Product groups expect uncertainty to continue in the grain market due to foreign tariffs. We anticipate continued strength in biodiesel and renewable diesel fuel shipments due to an increase in market demand for renewable fuels that will offset headwinds within the ethanol marketplace. We also expect the tuck - tight truck capacity, combined with the value of rail, to support long-term penetration growth across multiple segments in our food and refrigerated business. For Energy, we expect favorable crude oil price spreads to drive positive results for petroleum products. Local sand supply and softer market conditions will continue to negatively impact sand volumes. We also expect coal to experience continued headwinds throughout 2019, and as always with coal, weather conditions will be a key factor for demand. For Industrial, we anticipate an increase in plastic shipments, driven largely by additional plant expansions coming online in 2019. In addition, we anticipate continued strength in Industrial production, which drives growth in several commodities. For Premium, over-the-road conversion from continued tight truck capacity, as mentioned with Ag, will present new opportunities for domestic and auto parts growth. The U.S. light vehicle sales forecast for 2019 is 16.8 million units, down about 2% from 2018. We will continue to watch the OEMs as they implement their rationalization plans. Consumer preferences driving production shifts and new business wins will create some opportunity to offset the weaker market demand. Furthermore, uncertainty in the international trade and the potential for slower growth in the U.S. economy could also present headwinds as 2019 progresses. Before I turn it over to Tom for his operations update, I'd like to share that we continue to work closely with the operating department as we implement service changes with the Unified Plan 2020. Moreover, our commercial team is diligently engaged with customers to educate them on ways to better manage their railcar inventories and help them grow their business. With that, I'll turn it over to Tom.
Thomas Lischer: Thank you, Kenny, and good morning. I'd like to get started with a quick update on our safety performance for 2018. Our reportable injury rate was 0.82, an increase of 4% as compared to last year. Reportable rate for our rail equipment incidents or derailments was 3.28, an increase of 12%. In Public Safety, our grade crossing incident rate was 2.69, an increase of 5%. Safety remains our number one priority, and the entire Union Pacific team is committed and aligned to improving these metrics in 2019. Now I'd like to share an update on our Unified Plan 2020 progress so far. Implementation of Unified Plan 2020 began in October. On our Mid-American Corridor, we initiated and cutover approximately 160 changes to our transportation plan, and the results, thus far, are very encouraging. In this corridor, car inventory was down almost 16,000 cars. Car dwell was down almost 4 hours, driving reduction on our total daily crew starts. Other operating measures, such as car trip plan compliance, train departure and arrival performance and car connection performance have also improved. Furthermore, we are well underway of implementing our Phase 2, our Sunset Route, which is L.A. and Chicago and L.A. to our southeast corridors. This phase includes over 200 network T-Plan changes, and over half of these are already cutover. Next week, we will begin on our third and final phase, addressing the PNW in our Northern California corridors. Our goal is to complete the initial implementation of all 3 phases by the middle of this year, which is 6 months faster than we originally planned. Work continues on our efforts to rationalize switching yards, and we will share the results of these initiatives later this year. As Unified Plan 2020 continues to evolve, we expect to see further gains in labor productivity, which will be reflected in train crew and mechanical and engineering work forces. Our - the culture of our workforce is changing as our employees are actively engaged in both generating new ideas and implementing those ideas to our transportation plan. I am pleased with the progresses we have made so far, not only the results but the process we are following. Last quarter, we introduced 6 key performance indicators that we believe are appropriate measures to gauge our Unified Plan 2020 progress over time. These KPIs align our operating goals with our financial targets. Today, we have updated each KPI chart with the current results for the week ending January 22. The chart shows the pre-Unified Plan values from September of last year and the gold bar representing the range of expectations for our performance levels at year-end 2019. The yearend goals coincide with the data that we showed you last October. As you can see, we have made steady improvement. Freight car velocity has improved 9% since September. Operating inventory and cars per carload continued to improve due to faster car cycle time and the reduction in freight car dwell. Moving on to locomotives. Locomotive productivity increased 7% as we consolidated train operations and parked excess power. We have stored over 1,200 locomotives since August, and we expect units in storage to continue to increase. The results of these improvements are a more fluid and a more reliable service product. Car trip plan compliance increased 14 percentage points, and daily manifest service issues decreased 35% since September. As a reminder, the 2019 year-end goals are interim goals as we implement the Unified Plan 2020 across our network this year and beyond. Also, keep in mind the seasonality. Weather events and periodic service interruptions will drive variability in our KPI results. The results for workforce productivity in December are down from September, due - primarily due to the seasonality of carloads, but we expect large gains over the course of this year. Overall, we are pleased with the performance of our KPIs, and we expect continued improvement in our operations this year. So turning to capital. In 2018, we invested $3.2 billion in our capital program. In 2019, we are also targeting about around $3.2 billion pending final approval of our Board of Directors. 70% of our planned 2019 capital allocation is replacement spending to harden our infrastructure, replace older assets and to improve our safety and resiliency of the network. We will purchase no new locomotives in 2019, although we will continue to modernize our existing fleet. Freight car acquisitions will support both replacement and growth opportunities. We will continue to invest in our - in capacity projects on our network where constraints and productivity opportunities exist. We also plan expansions at intermodal ramps and other commercial facilities to accommodate expected growth. Planned investment in positive train control is $115 million, and that's down $43 million from 2018. To wrap up, Unified Plan 2020 is off to a great start, and I'm very proud of the team's efforts. We have made excellent progress in a short amount of time, but we are just getting started. 2019 will be a year full of change, and the results will be a safer, more reliable and more efficient network. So with that, I'll turn it over to Rob.
Robert Knight: Thanks, and good morning. Before I get started, as a reminder, our results for the fourth quarter of 2017 were impacted by two adjustments that we made associated with the Tax Cuts and Jobs Act, which was passed in late December of '17. These adjustments included a $5.9 billion reduction in income tax expense and an approximately $200 million reduction in equipment rents expense, driven primarily by our equity ownership in TTX. Comparisons that I make today to 2017's financial results exclude the impact of these adjustments. With that introduction, here's a recap of our fourth quarter results. Operating revenue was $5.8 billion in the quarter, up 6% versus last year. Positive core price, increased fuel surcharge revenue and a 3% increase in volume were the primary drivers of revenue growth for the quarter. Operating expense totaled $3.5 billion, up 4% from 2017. Operating income totaled $2.2 billion, a 9% increase from last year. Below the line, other income was $46 million compared to $33 million in 2017. The year-over-year increase was driven primarily by additional real estate gains. Interest expense of $240 million was up 28% compared to the previous year. This reflects the impact of higher total debt balance, partially offset by a lower effective interest rate. Income tax expense decreased 32% to $462 million. The decrease was primarily driven by a lower tax rate as a result of corporate tax reform, partially offset by higher pretax earnings. Our effective tax rate for the fourth quarter was 22.9%. For 2019, we expect our annual effective tax rate to be around 24%. Net income totaled $1.6 billion, up 29% versus last year, while the outstanding share balance decreased 7% as a result of our continued share repurchase activity. These results combined to produce a fourth quarter record earnings per share of $2.12. Our operating ratio of 61.6% was an improvement of 1.1 points compared to the fourth quarter of last year. The combined impact of fuel price and our fuel surcharge lag had a 0.5 point favorable impact on the operating ratio in the quarter compared to 2017. Freight revenue of $5.4 billion was up 6% versus last year. Fuel surcharge revenue totaled $488 million, up $195 million compared to 2017 and up $6 million versus the third quarter of 2018. Business mix had a negative impact of 3.5 points on freight revenue for the fourth quarter. Decreased sand volumes and an increase of lower average revenue per car intermodal shipments drove the negative change in mix. And as Kenny already stated, core price was 2.5% in the fourth quarter, which represents a three quarters a point sequential improvement compared to the third quarter. We realized solid pricing gains across most business segments during the quarter. For the full year, as we expected, total dollars generated from our pricing actions well exceeded our rail inflation costs. Now turning to operating expense. Slide 21 provides a summary of our operating expenses for the quarter. Compensation and benefits expense increased 4% to $1.3 billion versus 2017. The increase was driven primarily by employee severance costs related to our recent workforce reduction, volume cost and wage inflation, partially offset by lower management labor cost. Total workforce levels were approximately flat in the fourth quarter versus last year. Employees not associated with capital projects were also unchanged year-over-year. Our TE&Y workforce was up 4% due to higher carload volume and more employees in the training pipeline. Offsetting this increase was a 1% reduction in management employees and a 2% reduction in our mechanical and engineering workforces. Fuel expense totaled $640 million, up 17% compared to last year. Higher diesel fuel prices were the primary driver of the increase in fuel expense for the quarter. Compared to the fourth quarter of last year, our average fuel price increased 15% to $2.33 per gallon. Our fuel consumption rate increased about 1% during the quarter, primarily due to mix. Purchase services and materials expense was down 1% compared to the fourth quarter of 2017 at $582 million. Higher intermodal contract services were more than offset by lower mechanical repair costs and joint facility expenses. Turning to Slide 22. Depreciation expense was $555 million, up 4% compared to 2017. The increase was primarily driven by a higher depreciable asset base. For the full year of 2019, we estimate that depreciation expense will increase about 3%. Moving to equipment and other rents. This expense totaled $269 million in the quarter, which is down 3% when compared to 2017. The decrease was primarily driven by lower freight car and locomotive lease expense, partially offset by increased volume-related costs. Other expenses came in at $221 million, down 8% versus last year. Increased casualty costs were more than offset by insurance proceeds related to Hurricane Harvey and other items during the quarter. For the full year 2019, we expect other expense to be up in the 5% to 10% range compared to 2018. Productivity savings yielded from our "G55 + 0" initiatives totaled $65 million during the quarter, which was partially offset by additional costs associated with operational inefficiencies. The impact of these operational challenges totaled just under $20 million in the quarter, which is down from the $50 million that we reported in the third quarter. The additional cost were primarily in the compensation and benefits cost category. Full year productivity totaled $265 million, which was partially offset by $175 million of additional costs related to network inefficiencies. Net productivity savings for the year was $90 million. Railroad operations improved steadily throughout the quarter. And as Lance mentioned earlier, we are pleased to report that we are no longer experiencing the failure cost associated with the inefficient network operations. Slide 24 provides the summary of our 2018 earnings with a full year income statement. Operating revenue increased about $1.9 billion or 7% to $22.8 billion. Operating income totaled $8.5 billion, an increase of 8% compared to 2017. Net income was approximately $6 billion, while earnings per share increased 37% to a record $7.91 per share. Looking at our cash flow. Cash from operations for the full year totaled $8.7 billion, up about 20% when compared to last year, due primarily to higher net income. As expected, capital spending in 2018 totaled $3.2 billion or about 14% of revenue. Return on invested capital was 15.1% in 2018, up from 13.7% in 2017, driven primarily by higher earnings. Taking a look at adjusted debt levels. The all-in adjusted debt balance totaled $25.1 billion at year-end 2018, up $5.6 billion since year-end 2017. This includes the $6 billion debt offering that we completed in early June, partially offset by repayments of debt maturities. We finished the fourth quarter with an adjusted debt-to-EBITDA ratio of 2.3 times, up from 1.9 times in 2017. As we have previously mentioned, our target for debt-to-EBITDA is up to 2.7 times, which we will achieve over time. Dividend payments for the year totaled $2.3 billion, up from $2 billion in 2017. This includes the effect of 2 10% dividend increases in 2018. During the fourth quarter, we repurchased 8 million shares at a cost of $1.2 billion. Additionally, we received 4.5 million shares in the fourth quarter associated with our $3.6 billion accelerated share repurchase program that we initiated in June. In total for the year, we repurchased 57.2 million shares at a cost of $8.2 billion. These repurchases reduced our full year average share balance by 6% compared to 2017. Between dividend payments and share repurchases, we returned $10.5 billion to our shareholders in 2018. Free cash flow before dividends totaled nearly $5.3 billion, resulting in a free cash flow conversion rate equal to 88% of net income for 2018. Looking at 2019, we expect volumes for the full year to increase in the low single-digit range. And as Kenny mentioned earlier, we should see strength in several business categories, along with uncertainty in others. We will price our service product to the value it represents in the marketplace while ensuring that it generates an appropriate return for our shareholders. We are confident the dollars we yield from our pricing initiatives should again well exceed our rail inflation cost in 2019. For full year 2019, we expect overall inflation to be about 2%, with labor inflation in the 2.5% range. On the productivity side, we plan to yield at least $500 million of savings this year. We will see productivity in the form of lower compensation expense, enabled by a more efficient workforce. Labor savings and lower purchase services and materials expense will result from operating smaller locomotive and freight car fleets. Faster asset turns should reduce equipment rents and improve fuel consumption. Regarding our operating ratio, we are pleased with the recent progress that we have made, eliminating operational inefficiencies and accelerating the Unified Plan 2020. These accomplishments, along with the expectation of low single-digit volume growth in 2019, gives us increased confidence that we will reduce our operating ratio more quickly in the near term. Therefore, assuming the economy cooperates, we are setting new operating ratio guidance for 2019 of a sub 61%, and we expect to be below 60% by the year 2020. The plans and guidance that we established last year for capital spending, capital structure and use of free cash flow remain essentially unchanged. We will continue to appropriately reinvest in the business to maintain and improve the condition of our infrastructure. We will invest capital to support growth and productivity initiatives that meet our cost of capital threshold, and we expect return on invested capital to grow. As Tom mentioned earlier, we plan to spend around $3.2 billion in 2019 on capital expenditures, which is flat with 2018. Longer term, we expect capital investments to continue to be less than 15% of revenue. After capital expenditures, we will continue returning cash to shareholders in the form of dividends, maintaining our target payout range of 40% to 45% of earnings. We expect to take another step forward to increase our debt-to-EBITDA ratio towards our ultimate goal of up to 2.7 times, while maintaining a minimum credit rating of BBB+ and Baa1. The amount by which we increase our debt-to-EBITDA ratio in 2019 will depend on the strength and stability of both the economic and financial markets. We will continue with our previously announced 3 year plan to repurchase approximately $20 billion of shares by 2020. This plan is now over 40% complete with the $8.2 billion of share repurchases that we completed in 2018. So to wrap up. Positive full year volume, core pricing dollars in excess of inflation dollars and significant productivity benefits will all contribute to another year of strong cash generation and an improved full year operating ratio in 2019. In the longer term, we remain firmly committed to reaching our goal of 55% operating ratio beyond 2020. So with that, I'll turn it back to Lance.
Lance Fritz: Thank you, Rob. As discussed today, we delivered record fourth quarter financial results, driven by strong volumes, solid topline revenue growth and improved operating performance. Looking ahead to 2019, we're going to build on the momentum achieved during the past quarter as we continue implementation of Unified Plan 2020 under the guidance of a leader with extensive Precision Scheduled Railroad experience. We'll continue to pursue other "G55 + 0" initiatives as well as we make further gains in safety, service and efficiency. We're optimistic that the economy, the strength of our diverse rail network and improved service performance will drive positive volume growth this year and provide further price improvement opportunity. We remain focused on increasing shareholder returns by making appropriate capital investments and returning excess cash to shareholders through growing dividends and share repurchases. I am confident that we have the right organization in place, with an appropriate mix of UP veterans and new thought leaders, to achieve our goals for the year. With that, let's open up the line for your questions.
Operator: Thank you. [Operator Instructions] Thank you. And our first question comes from Jason Seidl with Cowen and Company.
Jason Seidl: Thank you and good morning, gentlemen. I wanted to touch on a few things. One, if we look at your outlook on the pricing side, you said - Rob, I think you said the pricing would well exceed your inflation rate. And you said your inflation rate was going to be about 2%. Do you consider the fourth quarter number well exceeding the rate of inflation that you guys posted?
Robert Knight: Jason, yes. I think I'll repeat for everybody else's benefit, how we calculate price. It is an all-in yield number. It's not a same-store sales type of calculation. It's the dollars that we generated across our entire book of business. And so when we say well exceed inflation dollars, we're comparing that dollar, if you will, that we generate across the entire book of business from pricing actions against the dollars that we incurred as a result of inflation. So yes, we did well exceed inflation dollars in the fourth quarter. And we expect to continue to do that again in 2019.
Jason Seidl: Okay. Fantastic. And the next one, shocking, was going to be on PSR. Can we talk a little bit about the pace of improvement? And maybe compare UP's network to some of the other networks that have seen PSR implemented? And is there anything at UP that would cause it to go slower or cause it to go faster?
Lance Fritz: I'll start it out, and then I'd like to turn it over to Jim for his perspective and then Tom as well. So the bottom line is we're focused on implementing the principles through Unified Plan 2020 on our railroad. And we see lots of opportunity to improve our car dwell, to decrease inventory, to improve cars per carload, to improve labor productivity across the board. We have benchmarked other railroads that implemented Precision Scheduled Railroading. And with puts and takes, we understand what they're achieving, and some of them are setting up some pretty strong benchmarks for us to pursue. But our focus is getting the efficiencies and the improvement here. Jim?
Vincenzo Vena: Lance, so all I can really add is a question. Is there any real difference in the speed? No. There is no real difference. And we're going to do it as quickly as possible to be able to look at every piece of the company to see how we get it to be as efficient as any other railroad in North America.
Jason Seidl: Thank you very gentlemen. Jim, welcome aboard.
Vincenzo Vena: Thank you.
Operator: The next question is from the line of Brian Ossenbeck with JPMorgan. Please proceed with your question.
Brian Ossenbeck: Hey, thanks, good morning. I appreciate you taking the questions. So Lance and Kenny, obviously, the regulators have been a bit active here with some increase before the government shutdown. So maybe you can just give your perspective. It seems like they have appreciated the communication that you've had with them and with other stakeholders, but it didn't stop them from launching the inquiry into some of the accessorials and demurrage fees. So maybe just give us an update on that. And whether or not you think, when they come back, if adding two new board members will change how this might play out?
Lance Fritz: Brian, this is Lance. So you're absolutely right. The STB has expressed interest in understanding our implementation of Precision Scheduled Railroading in the form of Unified Plan 2020 and also our approach to customers and helping them change behavior. We've been crystal clear with the STB in terms of what our efforts are, what our approach is and what the endgame is. And I'll leave it to Kenny to dive a little deeper. He has done a tremendous job being in front of the STB, explaining what we're doing, and then being in front of our customers, explaining what we're doing and why. Now I'll touch just one last base, and that is there are incremental members of the STB being named and now sworn in. And the STB has a very big docket in front of it of proposed rule changes. So we're working very diligently to help the STB members understand, from our perspective, the potential impacts of some of what has been proposed, what better alternatives exist and helping them work through that docket in a good, swift logical fashion. So Kenny?
Kenyatta Rocker: Yes. So Brian, thanks for the question. I say this humbly, but we've done a really good job of being proactive and communicating and being engaged with the STB. I can tell you that engagement has been very consistent. Lance sent out a letter that will be public on the accessorials. He said that, Monday, we'll be sending out something later this week here in the near term, really just updating the STB on where we are on the accessorials and how Unified Plan 2020 is going.
Brian Ossenbeck: All right. Thanks. I appreciate that. Just as a follow-up, maybe on the headcount and the productivity side. Maybe this is for Tom. The KPIs are great. I appreciate the updates, but it looks like there is some seasonality given that the daily car miles per FTE hasn't moved up. You gave the average for December. They're the ones who were kind of the last 7-day moving average. Can you just give us some context as to where these were in the fourth quarter? And how you would expect, especially the productivity, how big of a factor is that in the $500 million of targets - target savings rather you're expecting this year? That would be helpful.
Thomas Lischer: So our - on the TE&Y side, our training pipeline is kind of what threw it off a little bit from the actual people side. On a sequential basis, the number is actually coming down from -- for the fourth quarter, ending pretty well in December. That is going to continue moving forward. We're in the early innings as far as the labor productivity goes. So I would just look forward to seeing what happens going forward. With the other side of it, our engineering and our mechanical areas, we've made the adjustments in those labor productivities as we've made - say for example, the locomotives come out, we've made adjustments there. But we are in early innings on that side, and we just see that improving going forward.
Robert Knight: Right. This is Rob. If I can just add on to your point on the $500 million or at least number of productivity we expect to generate in 2019. Recall, the goal that we put on that particular KPI of a 10%-ish improvement is what we're focused on. And yes, to get $500 million-plus productivity, you can assume - without precise numbers, you can assume that labor productivity across the board is going to be a significant part of that.
Brian Ossenbeck: Okay. Thanks for all the details. I appreciate it.
Robert Knight: Yes.
Operator: The next question is from the line of Chris Wetherbee with Citi. Please proceed with your question.
Chris Wetherbee: Hey, thanks. Good morning. And welcome back, Jim. Glad to have you back. I wanted to touch base - just to follow-up on that comment, Rob, maybe on the efficiencies for $500 million, if you can get a little bit more granular and sort of give us a sense of maybe how you think about the net benefit of that as we move into '19. So it sounds like you're lapping some service issues, that $175 million of service from 2018. I'm not sure how we think about that in 2019. And then how we think about the $500 million in the context of inflation and the pricing that you're able to get? So I guess, maybe in other words, how much of that $500 million do you think really is net that drops to the bottom line as you run through the PSR initiatives?
Robert Knight: Yes. Chris, I get your question, and I'll probably frustrate you because I won't give as much detail around that, that you're asking. But I do get it. And yes, we are lapping some of those inefficiency costs. And that's why we have the at least $500 million figure out there. So yes, there is some so-called low hanging fruit of some - we won't reincur some of the inefficiency costs that we had primarily earlier in the year. So that's a good guide. But we are where we are. I mean, so we're going to improve $500 million at least off of where we ended the year on a full year basis. And it's going to come across the board. It's largely driven by the efficiencies that we've been talking through the Unified Plan 2020, but it's - every stone is going to be turned over in the organization, not just within operations. So all of that contributes. And yes, we have the headwind of the, call it, 2% inflation in there, but $500 million to the bottom line of productivity is what we're striving to get at least.
Chris Wetherbee: Okay, okay. No, that's helpful. I appreciate that. And then maybe just turning to the volume side. So there has been some announcements, I think, from a service perspective around the Intermodal business. And you were talking about sort of rolling out some of the PSR work to the Sunset Corridor. I just want to get a sense of, within the 2019 volume guidance, how do you think about Intermodal? Is there some maybe contraction or calling of some less profitable business that's included in that number? And maybe is that -- or is that sort of a variable that could impact the outcome as move through 2019?
Lance Fritz: Kenny?
Kenyatta Rocker: Yes. So I'll take that. Thanks for that question. First of all, we have a very positive outlook on our Intermodal franchise, both as we parse out the Intermodal and the domestic side. We're still in the early innings on what all we want to do with the network. Jim, Tom and myself would be working out the team as we look for more productivity and make sure that we have the most reliable, consistent service product out there.
Lance Fritz: Yes. I want to circle back, Chris, on overall volumes. So if you look around the globe, you can certainly find spots that cause you concern, right? Europe's slowing down. You can even read some reports that maybe it's ebbing into negative growth territory. Clearly, we've got trade potential impacts with China, both real now and future potential. So those are clear overhangs that we're keeping an eye on. Having said that, we have touched base with our customers and continue to do so. And as we look at the economic indicators in the United States, we still see support for what we consider low single-digit volume growth. And we're poised to be agile if that doesn't happen, but it feels like the U.S. continues to plug along. And so we're prepared for that.
Chris Wetherbee: Okay. Thanks very much for the color. I appreciate it.
Operator: The next question is from the line of Justin Long with Stephens. Please proceed with your question.
Justin Long: Thanks and good morning. So I would guess the productivity guidance you've provided for this year is more back-half weighted as you'll have PSR fully rolled out on the network. So is it possible to help us understand the productivity gains you're assuming in the first half of the year versus the second half of the year? I just wanted to get a better sense of the second [half run rate co] PSR.
Lance Fritz: Rob?
Robert Knight: Yes, Justin. I mean, we aren't detailing it quarterly, the way you're asking. But I can just tell you that we're not sitting around waiting for the back half of the year to come. We're going after it. As you heard both Jim and Tom and Kenny talked about earlier, we're going after it now. And we feel like we finished 2018 with pretty good momentum. So without giving details of precisely how much it's going to show up in each quarter, I can tell you that I don't view it that way. I look at it as an opportunity in front us. We're going to go after as much opportunity on the productivity front as we can.
Lance Fritz: Yes. You've seen the numbers, whether it's year-over-year or what we talked about middle of the year to now, locomotives, year-over-year, that number is down 1,200. A number like that from peak to now is down about a couple of thousand. I mean, we are entering the year on pretty good front-forward posture.
Justin Long: Okay. That's helpful. And just to clarify on the guidance for a sub-61 OR this year. Does that assume $500 million of productivity? Or does it assume something higher than that?
Robert Knight: Yes, Justin, this is Rob. It assumes the economy cooperates. It assumes that we generate and we see positive volume, although we won't use volume as -- lack of volume as an excuse. But our assumption is positive volume on the low single-digit side. It assumes pricing dollars generated above inflation dollars. And it assumes at least $500 million of productivity. So all of that has to be -- we're counting on all of that. We're going after every one of those aspects.
Justin Long: Okay. And I guess, lastly, for Jim. Congrats on the new role. And I wanted to circle back to some of the longer-term OR commentary. I'm guessing, given your limited time at the company, your input on the targets, thus far, has been pretty limited. So is it reasonable to expect that after a quarter or two of getting out on the network, seeing the railroad, we could potentially revisit this 2020 target and maybe put some numbers around the timing of getting to that 55 longer term?
Vincenzo Vena: Well, thanks for welcoming me, Justin. But you knew I was not going to answer that question. I've been here for 10 days. It's pretty hard to say how much of the railroad I've seen have been out in the field. I'll tell you this much. There's opportunity out there. There's opportunity in how fast we turn the assets from locomotive cars. There's impacts to engineering. But what I'm really happy to see is the whole team, before I showed up, was working towards an improved service, improved assets, improved speed, all the things that count. So we're going to do, as a team, everything we can to do it as fast as possible without truly affecting service to the point where we're affecting the customers that pay the bill every day.
Justin Long: Okay, great…
Operator: Our next question is from the line of Scott Group with Wolfe Research. Please proceed with your question.
Scott Group: Hey, thanks. Morning, guys.
Lance Fritz: Morning.
Scott Group: Before I really get going, Rob, can you just quickly quantify the insurance and severance items in the quarter?
Robert Knight: Yes. The insurance recovery that I called out was in the neighborhood of $15 million, call it, $0.01 EPS. And the severance was 20 - roughly $25 million.
Scott Group: Okay. Helpful. So Jim, welcome. And I'm not sure exactly how you're going to answer this based on how you just answered that last question. But UP has told us that they think structurally, they should have the best margin of any railroad. Given sort of your background and history, do you agree with that?
Vincenzo Vena: Thanks, Rob. So you guys have already got out that we're absolutely the best. Listen, Scott, seriously, there is nothing holding back from what I've seen from before and where I've been on-site from the franchise and what we can do. There are some things that we can do real fast short term. And there's others that we're going to have to target some capital in places to be able to run the trains and the cars as quick as possible, and we'll do that. But I don't see any reason for us to push against the best in the industry. Do I realize that - and I know some of those people in the other railroads. There's no way Keith is going to make it easy. There's no way JJ is going to make it easy. And there's no way Foote's going to make it easy. So we're going to work hard to see what they have -- we can do to be in the same ballpark and play the same game.
Scott Group: And when we've seen precision railroading at past railroads, it has been associated with closing hump yards and yard rationalization. Do you think we'll start to see that from UP?
Vincenzo Vena: Everything is on the table. So I visited a hump yard last week, and there is no ifs, ands or buts. We have opportunity. So everything. Flat yards, hump yards, there is nothing that's not on the table. And I'd be remiss to say, listen, we're going to shut down x amount of yards with 10 days on the job. But we're going to spend a lot of time to make sure we get the plant set up to handle the business as efficiently as possible with great service. So that's where we're headed.
Scott Group: Okay. Thanks, guys.
Vincenzo Vena: Thanks, Scott.
Operator: Next question is from the line of Ken Hoexter with Merrill Lynch. Please proceed with your question.
Ken Hoexter: Great. Great job on a solid performance in accelerating the plan, Lance. But Kenny, maybe you can delve into kind of what kind of changes have you already launched with customers in changing how the business is run. Can - any examples you can give us on things that have changed as you roll out PSR?
Kenyatta Rocker: Sure. Thanks for that question, Ken. So first of all, what we've done is we've been very proactive with our customers and we've been very granular with them on the changes that we want to make. So specifically, we tell them exactly what will happen. We talk to them about when and then we talk to them about what they can expect, and so we've done that at every turn. We've also sat down with our customers and talked to them about how to have the most efficient supply chain in terms of what we're trying to accomplish from a rail perspective. As Tom mentioned earlier, we've had quite a bit of a decrease in our rail inventory. A significant part of that is on the private cars fleet, and a lot of that is because our commercial team has been proactive in working with the customer to let them know how to run an efficient rail service with us.
Lance Fritz: Yes. And Kenny, those conversations haven't been easy, right? So customers aren't just immediately embracing the conversations you're earning with them. But your team is doing a tremendous job helping them understand how they can change their operating processes so that they receive better service net-net overall.
Kenyatta Rocker: Yes, that's right.
Ken Hoexter: Great. Appreciate that. And then if I can get one in for Jim as well. And Jim, welcome. But what - from your perspective so far and kind of how Lance has described, he stressed a lot about what fits our railroad in precision railroading principles. And given your background at your prior firm, what is different? Maybe you can explain to us from your perspective in the way Union Pacific has previously talked about PSR principles versus the precision railroading we saw. And then your thoughts on how that relates maybe to headcount reduction or timing of that?
Vincenzo Vena: Well, Ken, nice to hear your voice again, so thanks for welcoming me back. So I don't think there's anything different, substantially different. The network can be a little bit different. The customer, payers can be a little bit different. But the end result for PSR is pretty simple. You want to have great service. And I'll admit it right upfront, there's always -- and Kenny knows there's going to be some noise on the way there. There's -- and when you are more efficient in how you turn the locomotives, you need less of them. You need less people to service them. And I could go through a long list to tell you. I don't see anything major difference. But I'll let Lance talk about if there's really that much structurally different, and I think that's what it is, structurally we're a little bit different than the railroad I used to work at. But at the end of that, the principles are you run a real efficient railroad to the point where, down the road, we'll be able to attract new business because we're more efficient that we were not able to attract at this point. Make ourselves more competitive at every place where we competing, not only against railroad but against trucks. So it's a real positive. And the quicker we can get to that efficiency, it just helps us drive the bottom line in this company to a new point. So that's what we're doing.
Lance Fritz: Amen, Jim. Ken, I think you shouldn't read too much into - and I've said this over and over. When I talk precision scheduled railroad principles, it's Precision Scheduled Railroading. It's all the things that build it done the UP way, which just means at right speed, engaged with customers, and you're seeing how we implement it in full. So it's not like a piece here, a piece there, and I think we've been crystal clear about that as well.
Ken Hoexter: Appreciate that and the time. Thanks, guys.
Lance Fritz: Yes.
Operator: The next question is from the line of Allison Landry with Credit Suisse. Please proceed with your question.
Allison Landry: Good morning. Thanks. I wanted to, Jim, ask you, in previous iterations of PSR, the shedding of marginal traffic across the entire book not just intermodal. The resulting disruption of traffic flow seemed to allow Hunter to halt the system and redesign it very quickly, like we saw at CSX and CP. And it doesn't seem like we've really seen that so far at UMP, and I'm not hearing that from you guys today. Maybe that's due to the fact that the STB is keeping a pretty close eye out on the customer impact. But in your experience, is shedding business a necessary part of this process in order to fully realize the benefits of PSR implementation? And if you don't think so, I'd be curious to hear any thoughts on why maybe Hunter did it that way?
Vincenzo Vena: Well, Allison, thanks for the question. First of all, too early for me to say what impacts and what the efficiency will do to the business that's out there right now. I'd be truly guessing, and I don't like to guess. But if you have everything on the table, you need to deal with the flows of traffic, how well it fits into the plan to be efficient. And other places that have done PSR or scheduled railroad before, there has been some impact. But it's a logical decision to go through. You try to do it as little as possible. But at the end of the day, you got to be smart enough to move ahead and operate the railroad in a very efficient manner. So Allison, sorry, I just can't give you any more than that. I'd be guessing, and that's not what I'm doing.
Kenyatta Rocker: And then, Allison, this is Kenny. I just want to say we're working together as a team, Tom, Jim and I, to really educate the customer on how to fit in our network. I can tell you, we're not going in this thing looking to say, hey, we may lose this business because we're shipping. We're going in to win and grow our franchise.
Allison Landry: Okay, that's helpful. And Jim, I can appreciate you not wanting to guess. And then I wanted to see if you may be able to elaborate on the comments you made that perhaps you'll target some capital to be able to run the trains as quick as possible. Can you give us some sense of what that could relate to or maybe an example? That would be helpful? Thanks.
Vincenzo Vena: Real quick example from what I'd seen already is we want to build the length of the trains up. The technology is in place to operate the trains at a larger size than we are today and we might have to target some places where we can meet larger trains. And that's where we're going to do, and we want to do that fairly quickly. We want to be able to turn on that. And I Rob's on board, Lance is on board, the whole team is on board. It just makes the place more efficient. So that's an example.
Robert Knight: And Allison, I would just - this is Rob. I would just add, of course, all of that will be embedded in the guidance that we gave of less than 15% of revenue as we look. So we'll work -- we might move capital dollar from this project to that project. That kind of decision will -- may be made, but within the overall structure that we've guided.
Allison Landry: Okay. That’s really helpful. Thank you.
Robert Knight: Thank you.
Operator: The next question is from the line of Tom Wadewitz with UBS. Please proceed with your question.
Tom Wadewitz: Yes, good morning and congratulations on the strong momentum at the railroad and also on bringing Jim onboard. Sounds like you got just a lot of momentum, a lot of opportunity. You've - so you've had a lot of questions on PSR and kind of how you're approaching it. You've got your own KPIs. I just wanted to get some thoughts on how you think the review of the train schedule, how we might consider that. I think that's been a key component of schedule railroading at CP, CSX when it was rolled out, running fewer trains, taking train miles out and so forth. Can you offer some thoughts on has that already been done? Is reduction train starts kind of a key component? I know you've talked more about car miles per day, but just if you could offer some thoughts on that or if that's still to come in the future.
Lance Fritz: Hey, Tom, this is Lance. So I'll start in outlining for everybody on the call our process of adjusting our transportation plan, which Tom mentioned in his comments, and then give it over to Jim and Tom to add detail. So recall, Tom was talking about the Mid-American quarter, 160 T-Plan changes. In the Phase 2, 200. And we're just launching on Phase 3. So that is - those changes are exactly what you're talking about, Tom. That's about balancing the network. It's about blending. It's about taking what used to maybe be a unit train, but it wasn't efficient as a unit train and turning it into manifest and blending those networks. And then also looking for opportunities to knock off train starts, which ultimately ends up being a productivity tool for crew utilization. So all that - Phase 1 is under way. The process has been for us to bring in from the field the individuals who have to execute the work. We hold them accountable for designing a T-Plan that is highly reliable and efficient, and then they work with our network planning team to make it real. So that's how Phase 1 happened, the Phase 2 happened, it's how Phase 3 is going to happen this coming week. And a little more technicolor, Jim or Tom.
Vincenzo Vena: Go ahead, Tom.
Thomas Lischer: So we are - to your point, we are looking at train size and the train schedules to maximize footage across the territories that we can operate. Jim alluded to some capital opportunities that we're studying right now to get a quick turn on. But this is going to be an evergreen process as we continue. We're going to continue to look for the efficiencies, not only at the local or the node type area but the line side to drive those efficiencies across the network.
Vincenzo Vena: Listen, the only thing I could add and maybe it'll save some of the questions later on. Bottom line is we're going to use less cars to move the same amount of business because we're going to make them run faster. You do that by running them through terminals quicker than we are today, substantially quicker than we are today. You're going to run less locomotives because they're going to get over the road quicker and we'll be able to turn them into terminal. And we're going to be more efficient in how we handle them through the shops and how - even the equipment department, the mechanical people, how they handle the locomotives, how long they're out of service. We're going to go after the engineering people to see how efficient they are with capital to make sure that we're not blowing capital. We don't need to add to capital. We'll use the capital we have to be able to fix the railroad and make sure we've got the most optimal railroad. I can keep on going for a long time. The bottom line, what we want is good service with moving trains with more cars on them in an efficient manner. The locomotives are better. So we're going to touch - we've already touched, and we're going to touch the railroad across the whole company. It's not just one segment. It's exciting, right? There is nothing better to see when this thing comes through. Some of them will be real quick changes that we can make, and we've made changes already. We just dropped -- Tom and I went through, and we dropped a couple hundred more locomotives in the first 10 days. So is there more to come? Yes, there is. But let's be smart about it. So I'm excited. It's fun. And it's not like me going to Tibet or China or something because it's a different -- but this is pretty good in Omaha. I'm enjoying it.
Tom Wadewitz: So that all makes sense. And I don't mean to overly focus on one metric, but can you offer a thought on how train starts may have changed? I mean, are they down - what percent they might be down? Or what - or is that - the train start reduction is something that would come later on?
Lance Fritz: Tom, do you want to give a little commentary kind of qualitatively on what's happening with train starts?
Thomas Lischer: They're moving down, aligned with our expectations. We see some opportunity here going forward in the next couple months.
Lance Fritz: Yes, and you see it across the board, Tom. So we're finding opportunity to take manifest train starts down because we're finding opportunity where we have 4 starts between terminals and we really only need 2. And then we're also finding opportunity where we used to run a bulk train once every 2 weeks, and we're just sucking those cars into the manifest network. So we're not going to have that bulk train start and growing train size and the manifest network. We're seeing all of that, and there's lots and lots of opportunity to continue.
Tom Wadewitz: Right, okay. Thanks for the time, I appreciate it.
Lance Fritz: Yes.
Operator: The next question is from the line of Amit Mehrotra with Deutsche Bank. Please proceed with your question.
Amit Mehrotra: Thanks. Congrats team. Best of Luck, Jim. Jim, I know you've been at the company for, I guess, 10 days now, including the weekend. But you've been obviously at the rail industry for several decades. And I'm sure you had a good sense before you came in, in terms of what Union Pacific does well and maybe what can be improved upon. And I think you've touched on a few things from an efficiency perspective. But if you can just help us understand the DNA of UNP as you looked from outside in, what they've done well, what you think at least can be improved upon. I think that will be helpful in just understanding the opportunity?
Vincenzo Vena: Well, listen, you pass judgment when you look from outside in. It's a great company, great franchise. So it's got all the -- and great people. It really has, and we're going to put some extra focus on operating efficiency. And I think they -- UP has already started doing that before I showed up, so -- which is nice. And they got a great team from -- sitting around the table here with me. We've got strong people from the finance side, the marketing side. So I think it's a great opportunity, great company and we don't want to be where we are. We want to be close to the best of the best down the road, so that's what we're driving for.
Amit Mehrotra: Okay, okay. Let me just ask maybe a more specific one for Rob on the comment - the earlier comment Rob made with respect to the OR target this year being predicated on volume growth, productivity growth, just a lot of things that's rolling up into that OR target. But we are in a little bit of a transition period with respect to volume growth just given the uncertainty out there and your own guidance for this year. So Rob, how should we think about how much of the OR improvement is, in fact, predicated on the volume and revenue growth assumptions in the plan? Or is there just so much cost opportunity because you have that at least $500 million productivity target out there that there is enough cushion to say if volume growth is flat or maybe even slightly negative this year?
Robert Knight: Yes, no, I get your question. And I'm not going to give you a precise number today. Having followed us a long time, we don't use, as I said earlier, the lack of volume as an excuse to not achieve our productivity. But volume is our friend. So I can't split the hairs the way quite the way you're asking it, but our outlook right now is the economy is cooperating. And our outlook is that volume will be on the positive side of the ledger, in the low single digits, and we're not going to stop at $500 million. We're going to get at least that, and we're going to be as aggressive, as you've heard us talk all morning here, and looking for opportunities that we are pretty confident we know are out there and additional ones that no doubt will come as Jim and the team get further engaged. So we're going to go after -- and by the way, we're not just going to stop at -- we're going to get as far below the 61% as we can. So when we say sub-61%, we're going to do as good a job as we can pulling all the levers.
Amit Mehrotra: Okay. I'm going to ask one more just because I understand the answer, but I guess it wasn't overly precise because you just can't - you're not - you guys can't provide that, I guess, and I understand that. But maybe on the CapEx because you have provided a precise number on CapEx. Now it's a little over 13% in sales. Can you just talk about the filter? Has the filter changed in terms of what's being green lit in terms of new projects? And what's caused that reduction? And all the incremental cash flow, I guess, could that go now back to share repurchase? Would that be the number one use of the incremental cash flow? And that's it for me.
Robert Knight: Yes, Amit, this is Rob. And one of the things you've heard me say for several years now, we are very proud about the process that we have as an organization around our disciplined capital spending. So we have a joint effort that heavily involves, of course, operations, marketing and finance to really grind and make sure we're making the right decisions with an eye on long-term reserve - returns when we make capital investments. So we're not starting a railroad. We want to make capital investments. I'm -- as a CFO, I'm the happiest guy in the room to make a capital investment because I know we only do that when the returns justify it. So when you look at it, our discipline process around our capital, I would say that the process has not changed. What may well change, as Jim alluded to earlier, is specific projects here or there, where he sees and the team sees the opportunity to generate strong returns going forward. Those dollars may be redirected to different projects, but the process at a macro level is unchanged.
Amit Mehrotra: Got it. Thanks, guys. Congrats again and good luck in 2019. I appreciate it.
Robert Knight: Thanks, Amit.
Operator: The next question is from the line of Ravi Shanker with Morgan Stanley. Please proceed with your question.
Ravi Shanker: Thanks. Morning, guys. So you guys have made some pretty good progress with the PSR implementation already and it sounds like you're going to be done with it in 6 months. Is there a risk that Jim's full impact may not be able to come through because you're pretty much going to be done with the plan before he gets ramped up at the railroad? Or if Jim does come in and find a bunch of things to do, I mean, maybe that could extend the pace of implementation.
Lance Fritz: Ravi, let's be really crystal clear. Phase 1 of implementing this whole thing, when we're doing that in 3 phases, that will be done by mid-summer. This is an evergreen, right? So it's not like one and done, and then we live with that T-Plan and it's set in stone. This is a relentless pursuit of efficiency and enhanced reliability on our service product to customers. And we're never done. So my expectation with Jim is that you're going to be after it with the team with Tom and Lynden and Kenny forever. For -- it's an evergreen process, Ravi.
Ravi Shanker: Sorry, Jim, don't put your feet up just yet.
Vincenzo Vena: I was just wondering whether you thought - listen, I'm over here just relaxing. So I really appreciate it, Ravi. Thank you very much.
Ravi Shanker: No worries. And just as a follow-up, Rob, maybe Phase 1, you're going to be done by mid '19. And maybe this is related to the first question. But can you just talk about some of the items that will kind of bridge the OR gap between the 61% at the end of '19 and 60% for 2020? Again, are those related to PSR? Are those unrelated to PSR items?
Robert Knight: It's all of the above. I mean, PSR principles and the UP 2020 clearly will be, I think, a major piece of it. But remember, we've got our "G55 + 0" initiatives, which the difference between that and the Unified Plan 2020, really, in my mind is the "G55 + 0" initiatives is implied to mean everyone in the organization, whereas Unified Plan 2020 is really heavily operational. But everyone in the company is focused on driving productivity in everything we do. And I would say as we look to the sub-61% to the sub-60%, to your question, it's going to be driving all of the things we've been talking about today. The productivity, the efficiencies that will be evergreen and continue. It will be our relentless pressure and focus on getting as much price in the market as we possibly can. And at this stage of the game, we see positive volume being a contributor as well. So it's going to be all those levers.
Ravi Shanker: Great. Thanks so much.
Operator: The next question is from the line of Matt Reustle with Goldman Sachs. Please proceed with your question.
Matt Reustle: Good morning. Thanks for taking the question. Somewhat of a follow-up to an earlier question in terms of pricing initiatives. At this point, do you think you're actually driving any shift in mix from customers that are receptive to the pricing terms versus those that aren't?
Lance Fritz: Kenny?
Kenyatta Rocker: Yes, thanks for that question. No, we haven't seen that right now. I can tell you that we're pricing to the market, we're pricing to our value proposition. And as our service product becomes more reliable, we're optimistic about our opportunity to continue to do that.
Lance Fritz: And I want to add a little bit to that, Matt. So saying that we're deliberately trying to move mix with price is -- that's probably not precisely accurate. Saying sometimes that happens because when Kenny's team is pushing and trying to get as much as they can for the value that we're delivering, sometimes they break business. And when that happens, it can affect mix. And that - I don't doubt that has happened historically, and I don't doubt it's going to continue to happen.
Matt Reustle: Absolutely. Understood, okay. And then, Rob, regarding the $12 billion remaining on the buyback, right now you're running about $3 billion in free cash flow after dividends per year so that leaves a $6 billion gap there. At your current EBITDA level, you could do another $4 billion in debt raise and not breach the leverage targets. So how do you think about bridging that $2 billion gap over the next 2 years? Is it free cash flow growth, is it EBITDA growth? And you referenced it in your remarks. How comfortable are you that you can achieve that if you do see a deterioration in the macro environment?
Robert Knight: Yes. I mean we expect to make progress. And we will -- it will all be predicated on how our earnings growth project and how we actually deliver in actuality. And right now, as you can tell from our tone, we're feeling pretty good about that. So I would anticipate that we'll continue to move up the scale, if you will, on the guidance that we've given and continue to make progress on the - completing the buyback, working up towards that 2.7 times that we talked about. We made good progress in 2018. We expect to continue to make good progress in '19 and '20.
Matt Reustle: And ultimately, you think there's enough, whether it's CapEx takeout or cost takeout opportunities, where you can still achieve that full $20 billion even if you had an environment where volumes were declining or slowing down in particular areas?
Robert Knight: Yes. But of course, we always take a look at what's happening in our business. And if you had a recession or something like that, which we're not projecting, I mean, we obviously take that into consideration.
Matt Reustle: Understood. Thank you.
Operator: Next question is from the line of Walter Spracklin with RBC Capital Markets. Please proceed with your question.
Walter Spracklin: Yes. Thanks very much. Good morning, everyone. And welcome back, Jim. My question is around PSR and the implementation that we've seen or terms of implementation that we've seen in the past. And we've seen examples where it was attempted and failed and examples where it was attempted and achieved. And it seems that in those areas where it was attempted and achieved, it was done in a fairly aggressive fashion with a very short time frame that typically resulted in a fair degree of disruption. And that's disruption's at the customer level, the labor level, the regulator level. Mike, where we've seen it fail is where we've tried to water it down a bit and tried not to be as disruptive, and it hasn't worked. What I'm trying to figure out now, which way - what is the risk that we see a, perhaps, adjustment to PSR that puts it - puts the PSR implementation at risk?
Lance Fritz: So I'm going to start by saying I'm not sure I'm going to buy into the premise of the question. I'll say Jim can talk perfectly about the experience at CN, kind of the mother ship of the concept. And that happened over a fairly long period of time and continues to happen. So Jim, why don't you share those perspectives with us?
Vincenzo Vena: Walter, nice hearing from you. To start off, there's things that you can do real quick. And is there going to be some noise? I give it. Kenny is going to have some noise, but we got to be smart about how we do it so the noise does not affect us both from regulatory or customer. So we have that. But you move fairly quick and you see some advantages. The first few points are easier to drive and quicker. It took us, at the old company, a long time to get the last piece. That's a cultural change with people. It's how people think, it's how people do. So all those things take a little bit longer. And there is something that we find -- as you go through the process, you're going to have to spend capital to be able to extend sightings and tweak things to put it in. And so all that's in the mix. And listen, this whole question about whether we're going to succeed, I'll be honest. I could have just stayed doing what I was doing. I've got income back to sit around and enjoy myself and enjoy Omaha and everything that the network has to offer. I'm here to deliver. The team is here to deliver. We're going to have a lot of fun doing it. It's going to be an exciting time, and we're going to deliver it, Walter. I'm not worried about it.
Lance Fritz: Absolutely. And I want to come back to maybe one of the fundamental differences, maybe not, of how we're going about it. And that is Kenny has talked over and over about being in front of the customer, making sure they know what we're up to. That doesn't mean that the conversation goes smoothly and comfortably, but it means that they know. And the endgame is we want them to understand what we're doing, what it takes to fit well in this newly designed network, what those behaviors look like so that the service to them is highly efficient, highly reliable and consistent, which is the endgame. That's what they want. And so maybe that's a stylistic change. It doesn't slow us up, but it does change I think how the customer perceives what's going on.
Walter Spracklin: Yes. That makes sense. Okay. Just moving over to pricing. Perhaps, Kenny, you can address. You pointed and highlighted a fairly significant change sequentially in your pricing, a lot higher than I would expect from a quarter-to-quarter basis. Was there any kind of lumpy contracts, resign? Was there the benefit of spot business that -- from the tail end of the trucking? Can you perhaps give us a little bit of color on why that lifted so much? And could we see a continuation of a very significant sequential lift if whatever factors were at play in the fourth quarter continue into 2019?
Kenyatta Rocker: Yes. So first of all, we still have the competitive forces that we talked about in the past. They're still there. There wasn't anything unique or - that we want to call out. Like I stated, we're just going to continue to price to the market. We're going to price to the value proposition that we have. And a more reliable service product is going to give us more opportunity.
Walter Spracklin: So nothing specifically that caused the increase in the fourth quarter? Like, was it - like even - without being specific to different customers, was it just higher renewals? Or any color at all?
Robert Knight: Yes, this is Rob. As we said in our opening comments, we pretty much got -- saw positive pricing, except for the areas that Kenny just mentioned, where we continue to face some competitive pressures. We pretty much got good price across the board. So there was no single driver or marquee story line there. It was just steady hard work and good service and it came in at the 2.5.
Walter Spracklin: Okay, okay. Thanks very much for the color.
Operator: The next question comes from the line of Mike Baudendistel with Stifel. Please proceed with your question.
Mike Baudendistel: Great. Thank you. I just wanted to ask you, I mean, a lot of the other rails that have gone through PSR had first seen customer service deteriorate before it has later gotten better. Do you expect that to apply to Union Pacific?
Lance Fritz: So far, it hasn't, and that's not our objective. Right now, we're making pretty radical changes. And I'm sure you can find some number of customers at UP who could tell you that they're not real happy because we fundamentally changed the service product. Broadly speaking, the networks providing a better service product to most of our customers, and that's our intent.
Thomas Lischer: So first, to build on that a little bit, we've seen actually a 35% reduction in our service issues on our manifest program. So where we put in the - our Unified Plan 2020, we rolled that out. We've seen really good improvement in the overall reliability. Obviously, there's more opportunity to get better here.
Mike Baudendistel: Great. Sounds good. And also, just wanted to ask you, you said you don't need any locomotives in 2019. I think you've said that before. Is it primarily because you purchased a lot of locomotives the last few years? Or is it because you're running the network more efficiently and you can park some more now because of the existing fleet?
Lance Fritz: It's because we have a lot of locomotives in storage right now. We just don't need to add to the fleet. I will remind you, we did say that we're going to continue to modernize some of our heavily used units in the fleet, and that's for an eye towards improving reliability. Reliability of the fleet is really critical as we continue to grind efficiency on the resource.
Mike Baudendistel: Got it. Thanks very much.
Operator: The next question is from the line of David Vernon with Alliance Bernstein. Please proceed with your questions.
David Vernon: Hey. Good morning, guys. I had another sort of philosophical question around the whole PSR thing. I think where we've seen this work really well in the past is a very tight integration between sales and operations. In fact, most times, you've had sort of like a President of the business kind of controlling both functions. And it's really a shift from designing operation -- services with operations to the light customers to really selling the schedule that's most sufficient to run. I just wanted to get a sense for how you guys are addressing that kind of tension between sales and operations, either organizationally or through incentives or through business process changes, to make sure that as you are implementing this stuff, you are getting that tight integration that you need between the selling functions and the operating functions to really get the most out of this initiative. So if you could talk to that, that would be great.
Lance Fritz: Well, I'll let the guy doing it speak to that.
Vincenzo Vena: Okay. So let's think about it. There is going to be some impacts. I keep on saying it, and I'll say it again. From all the questions that we've had, people have said there's going to be impacts, and there's going to be impacts. As soon as you change things, you start charging people the merge for using your car and you make sure you collect the bill so that they give you the car back and they take it on arrival so it doesn't sit in your yard, that's a big change. And we're going to make those changes. We're going to make it quick. The Chief Operating Officer and the Chief Marketing Officer, sorry about that change in title. I apologize. But, okay, they can work hand-in-hand if we have the same goal, which we have the same goal. If there's some tension, at the end of the day, if we all understand where the goal is at the end - and I'll tell you, JJ and I had a great relationship, okay? And there's no reason for Kenny and I not to have the same relationship where we know what the goal is. And we know where there's going to be some impacts and we know there are some tough decisions to make. And I'm absolutely sure that Lance will keep the feet to the fire to make sure that we come to a solution that makes sense. And so that's my two piece.
Lance Fritz: That's exactly right, Jim.
Thomas Lischer: With the initial implementation, Kenny and I have been a lockstep, having those conversations with the customers. As we make changes, we're very tight on what we're doing as we go forward.
David Vernon: So no organizational changes or sort of incentive changes around kind of how you're actually taking the product to market?
Lance Fritz: Yes. You've seen our organizational change when we added Jim into the team. And what we did was we took a great team and we made it all that much better, which is why you're hearing confidence from us in terms of what we're going to accomplish in 2019 and beyond. And I'll tell you that we have good robust dissent debate, right, about what should we do in this situation. And the endgame is putting a filter on what it'd take to be the safest, best service product which is most reliable and consistent and most efficient railroad in North America. And those are the decisions that we're going to make. So yes, we fight about it. And usually, it's a fight about which is going to get us faster, which is going to get us more, which is the better path, not should we even take this path.
David Vernon: Thanks for that. Maybe, Kenny, just switching gears real quick and a follow-up. In your discussions with steamship customers, are you hearing anything from the steamship lines about how they're going to be adapting their service schedule to North America with the introduction of IMO 2020 later in the year?
Kenyatta Rocker: Yes. So I was just in [Asia] a couple months ago. Right now, we haven't had any extensive conversations about that, but we're going to stay close to our customers and be engaged with them.
David Vernon: All right. Thanks.
Kenyatta Rocker: Thank you.
Operator: The next question is from the line of Ben Hartford with Robert W. Baird. Please proceed with your question.
Ben Hartford: Yes, thanks. Maybe, Kenny, just a follow-up on the inbound ocean freight situation. Could you provide a little bit of context as to what the present environment is? We're hearing a lot about, obviously, pull forward. You mentioned that in your remarks, the inbound ocean freight. Data into the West Coast has been strong here. Warehouse capacity is tight. So any sort of perspective, particularly post Chinese New Year, as we get into March and the spring ramp what type of activity do we see? Do we see transloading activity and domestic intermodal pick up in a low and - on the international intermodal side? And how much of a volume risk do you see post Chinese New Year given the pull forward that we are seeing at the present time? Thanks.
Kenyatta Rocker: Yes. So thanks for that. We definitely saw it in the fourth quarter, as I alluded to in my earlier comments. As we're talking to our largest customers now and as you probably have read in the press release, there's still some strong volume out there, and we do see that. Based on the pull ahead, there's also some of that with the spring deal on the retail side. And we're going to just continue to stay close to our customers to see how volume shakes out.
Operator: Our next question is from the line of Brandon Oglenski with Barclays. Please proceed with your question.
Brandon Oglenski: Hey. Thanks, everyone for getting my question here. I know it's been a long call, so I'll just keep to one. But Lance, I guess, if we look back at the recent history at Union Pacific, your other West Coast rail peers have really outgrown, and specifically CN. So I guess - and I feel like Union Pacific has always had more of a balanced plan on margins, pricing and volume. With the transition to more of a scheduled railroad, does this create a lot of opportunities to maybe have targeted expansion with your customers? Or should we be thinking volume is more in the cars looking ahead?
Lance Fritz: Yes. Thank you for the question, Brandon. So the way we think about it is our Unified Plan 2020 is all about consistent, reliable service, better service, which our customers are starting to see and we're going to grow on that. And the most efficient service, generating the best returns because we do think we should be in the lead or with the leaders of the pack in that sense. I anticipate that customer service product, coupled with the work that Lynden's team and IT have been doing with sales and marketing on the experience and targeted technology investments towards an enhanced customer experience, that makes us more attractive than competition in the marketplace, whether it's truck or another railroad. So I do think, over time, we should have growth opportunity that presents itself to us that we don't have right now. But that's yet to be seen. That's the strategy, and we're intent on pulling that off on implementing that.
Brandon Oglenski: Well, thank you. Welcome back Jim.
Vincenzo Vena: Thank you very much.
Operator: Thank you. Our final question is from the line of Bascome Majors with Susquehanna.
Bascome Majors: Hey, thanks for taking my question here. Jim, welcome back. First of all, you're coming in as an unquestionable change agent in a very large organization. Clearly, you have a tremendous amount of experience that suggests that this will be a successful foray much like your last ones. But inevitably, some of those decisions are going to be unpopular, and there's a lot of people at UP to object to them. How do you get -- or how did you get the conviction that you had the leeway you need from the rest of the management team and the board to make the tough decisions that you're inevitably going to make over the next couple years? And if you could just talk a little bit about that process and how you got comfort level with taking this role, I think that would be really helpful? Thanks.
Vincenzo Vena: Bascome, thanks for the question, and nice to hear your voice again. So when you make a decision to change and come back to work, Lance and I spent a considerable amount of time, and the same thing with Rob and with Tom, to go over and make sure that the vision was aligned with what we need to do to be able to deliver and be able to take this company to where it should be. So at the end of it, I would not have come on board if I wasn't comfortable that everybody -- and it wasn't a push to get them to have the same goals and objectives and understanding what we had to do to get there. So that was the easiest part. So you communicate, talk before. And we both agreed that, listen, it's what the goals and objectives are. I would -- if I was worried about the decision-making with the board and with Lance or anybody else in the company, I would've stayed at home. I would have done something else. I'm not worried about that. And so that was the process that we took, Bascome.
Bascome Majors: Thank you. Welcome back.
Vincenzo Vena: Appreciate it. Looking forward to the next few years.
Operator: Thank you. At this time, I will turn the floor back to Mr. Lance Fritz for closing comments.
Lance Fritz: Well, thank you, Rob, and thank you all for your questions. We're looking forward to talking with you again in April and going over what our progress is at that point.
Operator: This concludes today's conference. Thank you for your participation. You may now disconnect your lines at this time.